Operator: Welcome to the GCM Mining Corporation’s second quarter 2022 results conference call. My name is Richard and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. I will now turn the call over to Mike Davies, Chief Financial Officer. Mr. Davies, you may begin.
Mike Davies: Great, thanks Richard. Good morning and welcome to our 2022 second quarter and first half results webcast. Joining me on the webcast this morning is our Executive Chairman, Serafino Iacono. As is customary, I will first take you through our slides and some prepared remarks, and then Serafino will join me in the Q&A portion of this webcast. Please note that we will only be taking questions this morning that are submitted through the webcast live event platform. You can submit your questions at any time and we’ll address then when we get to the Q&A. Before we begin, let me remind you of our cautionary statement regarding forward-looking statements that may be made by us during this morning’s webcast.  Next week marks the 12th anniversary of our acquisition of the Frontino Gold assets, which have since become our flagship Segovia operations. At our core, GCM has great assets, great people, and a strong balance sheet. On July 25, we announced we had accepted a proposal from Aris Gold to participate in a no premium, all share business combination. The arrangement is the culmination of a number of strategic alternatives reviewed by our board through the years. We believe in this market, an at-the-market combination with Aris represents a unique opportunity to enhance the value of our company and to push the potential for a re-rating of our securities.  The exchange ratio has been set at one-half of a GCM share for each Aris share, and that will add about 38.6 million shares to our existing issued and outstanding share capital and will also add a fully funded asset in Marmato, which we know well, in addition to a new Tier 1 asset in Soto Norte. Based on the share prices of both companies, it is expected that our shareholders will own about 74% and Aris shareholders about 26% of the combined group in an in-the-money diluted basis.  Since the announcement of the proposed merger, RV is up almost 7% versus our peers, who are collectively down about 15%. The market appears to view the transaction favorably, as do Fitch and S&P ratings who have both affirmed a B-plus rating subsequent to the announcement.  The merger is subject to approval of shareholders at both companies in addition to customary regulatory approvals. The shareholder meetings have been set for September 19 and meeting materials will be distributed next week. Additional information can also be found on our website. Let’s turn our attention to the operating and financial results we reported last night. Overall, we are once again very pleased with our second quarter and first half results, which continued to reflect consistently strong production and healthy adjusted EBITDA and ASIC margins. Our adjusted earnings in the second quarter reflect the increase in finance costs associated with the debt issued to fund Toroparu and an increase in Colombian tax rates this year. Our operating cash flow and free cash flow in the second quarter reflect the receipt of overdue VAT refunds from 2021 and a lower level of income tax payments compared to the prior year. Over the next several slides, we’ll go through these results in further detail.  From a capital structure perspective, we currently have 97.6 million shares issued and outstanding, and on a fully diluted basis we have 132.2 million shares. Our market cap at yesterday’s close stood at $354 million.  In July, we pre-released our gold production results for the second quarter and first half of this year. We produced 53,000 ounces in Q2, bringing our first half total to about 103,000 ounces, up about 2% over the first half last year. Last night, we announced another solid month in July with almost 18,000 of gold production. That brings our trailing 12-months total gold production to about 211,000 ounces and Segovia is well on its way to meeting its production guidance for 2022 of between 210,000 and 225,000 ounces of gold. Taking a closer look at our 2022 production results, performance at the company mines continues to be steady with El Silencio and Sandra K, the two mines with the largest year-over-year increases in our resource update earlier this year, continuing to show strong growth as expected. Our small scale miner program is operating well and benefited from some additional high grade ounces in the second quarter of 2022. About 1,600 of those ounces came from our highest cost source, so it had a bit of an adverse impact in our Q2 cash cost results; but that being said, we still turned a profit on this additional material. Revenue in 2022 was up about 5% over 2021, 2% of which was in line with our production growth and the other 3% due to stronger gold prices this year. Our realized gold price average was $1,859 per ounce in the first half of 2022 versus $1,805 per ounce in the first half last year. Our trailing 12-months revenue reached $387 million and we expect additional revenue enhancement in the second half of 2022 as we begin to sell our zinc and lead concentrates under an off-take contract we finalized with an international customer in June. Visually as you look at this chart, you can see that our ASIC is averaging about $1,200 per ounce since we adjusted our contract mining payment rates in 2020 and since we have put more money into our gold exploration and development programs at Segovia. Our ASIC was $1,207 per ounce in the first half of 2022, including about $35 per ounce for the costs associated with the free trade arbitration process that is finalizing reaching the hearing stage in September, after which we expect to receive a decision at some point in 2023. Our ASIC margin averaged 35% in the first half of 2022 and would have been on par with the first half of last year at 37% but for the extra free trade arbitration costs that we incurred this year. Last night, we reported $46 million of adjusted EBITDA in the second quarter of 2022, bringing the first half total to $91 million, representing an adjusted EBITDA margin of 45%. For the trailing 12 months, our adjusted EBITDA totaled $168 million and our adjusted EBITDA margin was about 44%. According to Fundamental Research, our adjusted EBITDA margins continue to remain well above sector averages, which they indicated in their April 2022 research report are averaging about 13% of revenue.  As I mentioned earlier, our cash flow metrics continue to be fueled by our healthy adjusted EBITDA results and increased in the second quarter of 2022 as we received, as expected, our VAT refunds from 2021. Our operating cash flow in the first half of 2022 was $56 million and we used $25 million of this to fund Segovia’s sustaining and non-sustaining capex, leaving us with $31 million of free cash flow for the first half of this year. From this, we used $7 million to pay our monthly dividends, $3 million to buy back stock under our normal course issuer bid, and about $2.5 million to increase our equity position in Denarius. That left us with $18 million of our free cash flow that went back onto our balance sheet into our cash position at June 30. Our cash position at June 30 totaled $266 million, down from $324 million at the beginning of the year. Big picture, the decrease in our cash position reflects $10 million used in February from the senior notes proceeds to make the first payment of the semi-annual interest due on the senior notes in February. We used $31 million of the senior notes proceeds to fund the non-sustaining capital expenditures at Toroparu in the first half of the year and we used $35 million in April to fund the acquisition of the Aris convertible debenture. Offsetting those decreases was the $18 million increase I mentioned in our cash flow coming from the remaining portion of our free cash flow from our operations. In addition to our cash position, we have $138 million committed from Wheaton through the Toroparu stream agreement, and finally I’d like to reiterate that Fitch and S&P have both recently re-affirmed the B-plus ratings on our debt. Fitch maintained a stable outlook while S&P improved their outlook to positive. Earlier this year after the biggest year of drilling in our 12-year history with almost 100,000 meters drilled in 2021, we announced a 14% increase in our M&I resources to 1.6 million ounces and a 41% increase in inferred resources to 1.7 million ounces, with the largest increases coming at El Silencio and Sandra K. In 2022, we are committed to another year with a very robust drilling program. Last night, we reported that through the first half of the year, we have completed approximately 38,000 meters of drilling at our four producing mines through our in-mine and near-mine and mine geology campaigns. We have also completed approximately 15,000 meters of drilling in our brownfield program, continuing to focus on Cristales, Manzanillo, Marmajito and Vera. In June, we issued a rather lengthy press release detailing the results from these programs through the end of April, and to no one’s surprise, we continue to see a proliferation of high grade intercepts across the board that continues to give us confidence in the high grade nature of the material at Segovia and that the longevity of the Segovia operations are well intact.  We’re also pleased to report that the expansion of the Maria Dama plant to 2,000 tons per day will be completed in August. The polymetallic plant is operating well and will begin shipping its stockpile concentrates in the third quarter of this year, and the expansion of the El Chocho tailings storage facility is underway through the Phase 2 program, which commenced in the first half of this year. On our website, you’ll find two videos we released in June that will give you a greater appreciation for the work our team in Colombia has accomplished at both the polymetallic plant and the El Chocho tailings storage facility. In June, we published our second annual sustainability report, which can be found on our website along with some additional videos we released at the same time to let you see the many ways our Colombian team makes ESG a foundational component of how we operate and why we have our social license to operate at Segovia. From education to health and safety to environment, community, small scale miners and our employees, ESG is an integral part of our DNA. At our Toroparu project in Guyana, we’ve made considerable progress in the first half of 2022. We’ve spent a total of $31 million on our capital investment in the first half, all funded by the net proceeds from the senior notes. We have continued our infill drilling in support of the PFS and we have been carrying out various pre-construction activities related to the camp, the southern access road, rehabilitation, engineering, and other studies, as well as advancing the PFS, which will now be finalized after the Aris merger. The team has completed several international tender processes to select and engage contractors and operators for the project, and this is being incorporated in the PFS update. The application for the large scale mining license was submitted in early 2022 and is expected to be finalized by the fourth quarter of this year. At this point, everything at Toroparu is moving along well and according to our schedule. 
A - Mike Davies: I think the answer to that is we’re still working on the PFS at this time. We’re not releasing a capex estimate until the PFS is done, which as I said will be after the conclusion of the Aris merger. There are still some quotes and information coming in on it. At this point, we are pleased with the results we’re seeing.  We’re making changes, as we’ve announced, to incorporate contract mining and some build, own and operate contractors for the power supply and the fuel, but at this point, we’re not providing an updated capex on Toroparu until we get to the end. At this point, that’s the only question we have on the portal. If there’s no other questions, I’ll give it a second to see if something comes in.
Mike Davies: All right, well, since there’s no other questions coming in at this moment, I’d like to thank you for joining. We are available if you want to reach out to us afterwards. Our contact information is on the presentation on our website. We thank you and continue to stay tuned for updates as we move through the process with Aris over the next several weeks. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.